Operator: Ladies and gentlemen, thank you for standing by. My name is Colby, and I will be your conference operator today. At this time, I would like to welcome you to the Custom Truck One Source Inc. Third Quarter 2025 Earnings Conference Call [Operator Instructions] I'd like to turn the call over to your host today to Brian Perman. Sir, you may begin.
Brian Perman: Thank you. Before we begin, we would like to remind you that management's commentary and responses to questions on today's call may include forward-looking statements, which, by their nature, are uncertain and outside of the company's control. Although these forward-looking statements are based on management's current expectations and beliefs, actual results may differ materially. For a discussion of some of the factors that could cause actual results to differ, please refer to the Risk Factors section of the company's filings with the SEC. Additionally, please note that you can find reconciliations of the historical non-GAAP financial measures discussed during the call in the press release we issued yesterday afternoon. That press release and our third quarter investor presentation are posted on the Investor Relations section of our website. We filed our third quarter 2025 10-Q with the SEC yesterday afternoon. Today's discussion of our results of operations for Custom Truck One Source Inc., or Custom Truck, is presented on a historical basis as of or for the 3 months ended September 30, 2025, and prior periods. Joining me today are Ryan McMonagle, CEO; and Chris Eperjesy, CFO. I will now turn the call over to Ryan.
Ryan McMonagle: Thank you, Brian, and welcome, everyone, to today's call. Building on our momentum from the second quarter, Custom Truck had a strong third quarter, delivering 20% adjusted EBITDA growth and 8% revenue growth versus Q3 2024. Third quarter performance was characterized by continued solid fundamental demand in our core T&D markets and excellent execution by our team, leading to strong results in both our ERS and TES segments and overall year-over-year revenue growth for the quarter. Custom Truck powers the people who strengthen and build our nation's infrastructure. Our trucks are used to build and maintain the grid on a daily basis. Our steady business activity and strong intra-quarter order flow continue to reinforce our optimism about achieving our expected growth targets in 2025. As a result, we are reaffirming our previous fiscal 2025 revenue and adjusted EBITDA guidance. While Chris will discuss our segment's performance in greater detail, I'd like to highlight some key trends. In ERS, our utility contractor customers continue to see sustained and increased levels of activity, which they expect to persist for the foreseeable future, driven largely by spending tied to unprecedented secular growth and electricity demand. As several recent articles highlight, the real bottleneck in the AI build-out is electricity. Current industry projections estimate that total T&D CapEx among U.S. investor-owned utilities for the 5-year period from 2025 to 2029 will be approximately $600 billion. The overall annual growth rate of spending is expected to be almost 10% with transmission spending expected to grow at more than 15% annually through 2029. We feel these trends in the utility end market have been among the key factors driving the growth in our OEC on rents over the last year and position us well for 2026. For the third quarter, average OEC on rent was more than $1.26 billion, a 17% year-over-year increase. We ended the third quarter with over $1.3 billion of OEC on rent and have continued to see growth so far in the fourth quarter. Average utilization in the quarter was just over 79%, up more than 600 basis points versus Q3 of last year and the highest level in more than 2 years. We continue to see mid-70% to mid-80% utilization rates across most of our fleet, demonstrating the long-term resilience of our end markets. These trends drove a year-over-year increase in rental revenue of 18% in the quarter, with total ERS segment revenue up more than 12% versus Q3 of last year. Because of the sustained strong demand, we decided in the quarter to accelerate rental fleet CapEx, which Chris will discuss in more detail. We believe this spending will position us well for continued growth in 2026. At the end of Q3, our total OEC was just over $1.62 billion, our highest quarter end level ever. Coming off near record segment sales last quarter, TES continued to see good sales performance in the third quarter, posting year-over-year growth of 6% and year-to-date growth of 8.5% versus the first 3 quarters of last year. While our backlog was down in the quarter, we continue to see strong intra-quarter order flow, particularly among our local and regional customers. This reflects the current availability of equipment broadly in the market, which decreases the need for customers to place orders far in advance. Signed orders in the quarter from this portion of our customer base were up more than 40% year-over-year, driving overall order growth of over 30%. With the supply of certain vocational vehicles remaining at elevated levels across the market, segment gross margin was down slightly in Q3 compared to the prior quarter. However, it remained within our expected range of 15% to 18%. Overall, our current pace of orders and the continued strong demand for vocational vehicles across our end markets combined to provide us with confidence in our outlook for TES for the rest of the year. We continue to believe that accelerated depreciation provisions contained in the recent federal spending and tax bill will benefit Custom Truck, particularly for sales of used and new vehicles in the fourth quarter. Since the end of the third quarter, we've seen this reflected in our backlog, which has grown so far in the fourth quarter to over $350 million. With respect to the tariff landscape, we continue to feel that as a result of our mitigation actions taken earlier this year, the tariffs will have a limited direct cost impact on our business this year. However, we continue to hear about hesitancy related to new equipment purchase decisions from some of our customers as a result of economic uncertainty, continued high interest rates and the overall inflationary pricing environment to which the tariffs have contributed. We are reaffirming our full year 2025 guidance. Our strong year-to-date results, our robust order flow and resilient end market demand continue to drive our expected growth across our consolidated business this year. Despite some volatility in the macro environment, our business outlook remains positive. Long-term sustained end market demand, buoyed by secular megatrends and our ability to provide exceptional execution on behalf of our customers set us apart from our competition. Our multi-decade relationships with strategic suppliers and our long-tenured and diversified customer base will continue to be key to our success. I continue to have the highest degree of confidence in the Custom Truck team and want to thank everyone for their hard work and dedication that helped achieve these results this quarter. We look forward to updating everyone on our progress on next quarter's call. With that, I'll turn it over to Chris to discuss our third quarter results in detail.
Christopher Eperjesy: Thanks, Ryan. For the third quarter, we generated $482 million of revenue, $156 million of adjusted gross profit and $96 million of adjusted EBITDA, up 8%, 13% and 20%, respectively, versus Q3 of 2024. On a year-over-year basis, all our rental segment KPIs improved in the quarter. Average utilization of the rental fleet for Q3 was over 79% compared to 73% in Q3 of the prior year. Average OEC on rent in the quarter was over $1.26 billion compared to under $1.1 billion in Q3 of 2024. Both metrics so far in Q4 are higher than the averages we experienced in Q3, currently standing at more than $1.3 billion and over 80%, respectively. As of today, OEC on rent is up more than $180 million or 15% versus a year ago. The ERS segment had $169 million of revenue in Q3, up more than 12% from $151 million in Q3 of 2024. Rental revenue was up meaningfully on a year-over-year basis, showing 18% growth. Rental asset sales were essentially flat and are up 20% year-to-date compared to the first 3 quarters of last year. Segment adjusted gross profit was $104 million for Q3, up 19% from Q3 of last year. Adjusted gross margin for ERS was 62% in the quarter, more than 370 basis points higher versus the same period last year, driven by a higher mix of rental revenue as well as improved rental margins of almost 76% and sustained rental asset sales margins in the mid-20% range. On-rent yield was 38.2% for the quarter, down slightly from Q3 of last year, but still within our expected upper 30% to lower 40% range. Net rental CapEx in Q3 was $79 million, and our fleet age is just below 3 years. Our OEC in the rental fleet ended the quarter at over $1.62 billion, up almost $130 million versus the end of Q3 2024 and up more than $60 million in the quarter, reflecting our strategic investment given the strong demand environment we continue to experience across our primary end markets, particularly in T&D. We expect to continue to invest in the fleet in the fourth quarter, resulting in high single-digit percentage OEC growth versus the end of 2024, which is higher than previously expected. In the TES segment, coming off near record sales in Q2, we sold $275 million of equipment in Q3, up 6% year-over-year. Gross margin in the segment in Q3 was 15%, down from Q3 2024. We expect TES gross margins to improve in the coming quarters as supply of vocational equipment in the market comes more into balance, reducing some of the pricing pressure we've seen this year. PES new sales backlog decreased by $55 million in the quarter, driven by continued strong sales activity. At 3 months of LTM TES sales, our TES backlog is slightly below our targeted historical average range. However, net orders in Q3 remained strong at $220 million, up more than 24% compared to Q3 of 2024. So far in Q4, which is historically our highest quarter of PES sales, we've continued to see strong order flow and our backlog has grown to over $350 million. That, combined with the ongoing feedback from our customers regarding their equipment needs for the remainder of the year, provides us with confidence that we will see strong revenue growth in TES this year, but we do believe it will be closer to the low end of our guidance range. Our strong and long-standing relationships with our chassis, body and attachment vendors continue to be an important driver of TES production. Our current level of inventory positions us well to meet our production, fleet growth and sales goals for the year as well as help mitigate any impact from tariffs. Our APS business posted revenue of $38 million in the quarter, up 3% compared to Q3 of last year. Adjusted gross margin in the segment was over 26% for Q3, up both year-over-year and sequentially. Our year-to-date adjusted gross margin in APS remains in our expected mid-20% range. Borrowings under our ABL at the end of Q3 were $708 million, an increase of $38 million versus the end of Q2, largely to fund both rental and non-rental CapEx and certain other working capital needs. As of the end of Q3, we had $238 million available and over $230 million of suppressed availability under the ABL, resulting in substantial liquidity for the company. With LTM adjusted EBITDA of $365 million, we finished Q3 with net leverage of 4.53x, a sequential improvement. We did make progress on our planned inventory reduction with inventory down almost $54 million in the quarter. This contributed to a reduction in our floor plan balances of almost $57 million. We continue to expect to reduce our inventory in Q4 and into next year, which should contribute to lower balances on our floor plan lines as well as reduced borrowings on the ABL. However, given the strong demand environment that we are expecting to continue into 2026 and beyond, we now expect to reduce our inventory by $125 million to $150 million compared to the level at the end of last year. We intend to use our levered free cash flow to reduce our net leverage and to continue to target a level of below 3x. This remains a primary and important goal for us and one that we expect to achieve by the end of fiscal 2026. We are reiterating our previous 2025 guidance with total revenue in the range of $1.97 billion to $2.06 billion and adjusted EBITDA in the range of $370 million to $390 million. However, given the sustained rental demand in ERS, we now plan to invest more than previously expected in our rental fleet this year, resulting in net rental CapEx of approximately $250 million. In addition, we expect our non-rental CapEx to be higher this year as well as we have taken the opportunity to fund some additional production and manufacturing improvements at our Kansas City location, which should result in expanded production capacity and better position us for growth across our segments. While our segment guidance remains unchanged, we do expect ERS to finish the year with revenues in the upper half of our $660 million to $690 million range and TES to finish the year with revenues closer to the lower end of the $1.16 billion to $1.21 billion range. The extent of the benefit we get from our customer spending on new and used equipment as a result of the accelerated depreciation provisions is likely to be a key determining factor as to where in our guidance ranges we end up for both ERS and TES. As a result of higher-than-expected rental and non-rental CapEx, as well as the decrease in our planned inventory reduction, we now expect our levered free cash flow to be less than our previous $50 million target. However, we are confident that the incremental CapEx will yield strong returns that will result in higher sustained levels of levered free cash flow going forward. In closing, I want to echo Ryan's comments regarding our continued strong business outlook. Despite some macroeconomic uncertainty this year, our year-to-date results and the continued strong fundamentals of our end markets allow us to be optimistic about the long-term demand drivers in our industry and our ability to produce double-digit adjusted EBITDA growth this year. With that, I will turn it over to the operator to open the line for questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Scott Schneeberger from Oppenheimer.
Daniel Hultberg: It's Daniel on for Scott. So it seems like momentum is really strong here. Can you guys please elaborate on the visibility you feel you have for 2026 to sustain this momentum, please?
Ryan McMonagle: Sure. Yes. Good to hear from you, Daniel, and thanks for the question. Yes, we're seeing really good demand in the utility sector and transmission and distribution. And as we talked about on the call in our remarks, we're seeing demand increase, especially around transmission, in particular. So as everybody is hearing, it does feel like we're heading into a strong cycle of transmission demand. And so that's the decisions that we made in Q3 were to invest more into the rental fleet. Some of that will carry into Q4 as well. And we think that's what sets us up really well for 2026. So we said on the call that OEC on rent averaged $1.26 billion for the quarter. It finished the quarter at $1.3 billion and has continued to grow into October. So utilization on rental is back into the 80 -- is north of 80% at this point. And so that's, I think, why we're really comfortable with the impact of that heading into 2026.
Daniel Hultberg: Got it. Honing in on ERS and OEC on rent yield. Could you discuss how you think about that going forward and how you feel about the pricing environment?
Ryan McMonagle: Yes. We've guided, obviously, high 30s to low 40s from an on-rent yield perspective, Daniel. And we've seen yield increase a bit in September and into October versus what we averaged for the quarter. So we've seen that as a positive thing. Obviously, 2 things in play there, right? One is as we shift more towards transmission, slightly higher yield that we've talked about. And so I would expect that to continue a bit. And then as utilization increases, we've been able to take advantage of some pricing opportunities where it makes sense. Obviously, we have to price to the market. We have to be competitive in the market. And so that's obviously what we're dealing with on a day-to-day basis. But I think it should be in the range that we've guided to, and we -- I would expect that it would increase a bit from where we -- where it was in Q3 of this year.
Operator: Your next question comes from the line of Justin Hauke from R.W. Baird.
Justin Hauke: I guess I wanted to ask a little bit about the cash flow. I appreciate all the color on the uptick in the CapEx to kind of capitalize on the growth that you're seeing. But maybe just a little bit more clarification on the inventory reduction and the timing of that. You said kind of into '26 to get that down by the $125 million to $150 million from year-end '24. Just trying to think about what that means? Is that more second half of '26? I just don't know how long this kind of elevated CapEx is going to be before those inventory levels start coming down. And then maybe the corollary to that would be just on the free cash flow guidance saying the levered being under the $50 million. I guess it's been kind of a use of cash all year. I'm just trying to think about the fourth quarter and do you expect to kind of continue to use cash in 4Q? Or will that be a cash inflow quarter?
Christopher Eperjesy: Yes. Thanks, Justin. This is Chris. And maybe I wasn't clear. So the $125 million to $150 million reduction versus the start of the year will occur by the end of this year. And so we do expect to see -- I think through Q3, I think we're only down $14 million or $15 million. So you should expect another $110 million to -- I guess, it would be $135 million of further reduction in Q4. And so I think at peak last summer, we said we were just under 11 months of whole goods inventory on hand. I think now we're just under 8. We've set a target of trying to get to 6. I think the into and beyond into 2026 relates to getting that further -- getting down to 6 months by the end of next fiscal year. And so I do expect we'll generate free cash flow in the fourth quarter, but it's -- given the incremental investment in the rental fleet and the timing of some of that inventory reduction, we're not going to have -- for the full year, we won't have any meaningful free cash flow.
Justin Hauke: Okay. Okay. And I guess just on the non-rental CapEx, the uptick on the production capabilities, can you quantify just kind of how much that is as we kind of think about, I don't know, the difference for next year versus that investment?
Christopher Eperjesy: Yes. So I mean the answer is it really is just expanding some of our capabilities here in our KC campus. And I would think of it in the magnitude of $10 million to $15 million kind of impact, and it really is land building and putting some equipment in those facilities. And so I think we -- next year, we get back. I think historically, we've been $25 million to $40 million of non-rental CapEx. I think it will be -- continue to be similar as we move forward.
Operator: Your next question comes from the line of Naim Kaplan from Deutsche Bank.
Naim Kaplan: This is Naim Kaplan on for Nicole DeBlase. So I was wondering what was the latest on your utility T&D customers' ability to execute projects? I know you kind of touched on this, but just like to have a little bit of elaboration. And it seems like also the industry is back on track after delays in 2024 and 2025, basically. Is that kind of the right way to think about it that we're back on track?
Ryan McMonagle: Yes. I think that's a great way to think about it. I think we're seeing -- we've seen distribution really pick up throughout the year. And I think it's back in a very good spot from a utilization and from a demand to purchase new equipment. And then we're seeing transmission pick up. It's been a significant pickup as it normally is in the fall. And obviously, that's what we've been investing into. And it feels like that it's got very good tailwinds behind it when it comes to transmission projects that are in process and under construction and will continue to need our equipment. So yes, I'd say it's back to normal and continuing to improve on the transmission side.
Naim Kaplan: Okay. Perfect. And can you provide more color on the drivers of the 30% organic growth in PES? And maybe if you could touch on the customer types as well. And then on the backlog, was that only down year-over-year due to like a prior year comp because you had some past due backlog last year?
Christopher Eperjesy: Yes. I'll take the second question. And you may have to repeat the first -- your first question because I don't think we heard -- you gave a percentage that I don't think we're familiar with. But on the backlog, we've said historically, we're not really a backlog-driven business. We're in kind of an order-driven business. And if you go back and look at the history, we've continued to post -- in '23, we posted 30% new sales growth last year, 7%. This year, on a year-to-date basis, almost 9%. And in that period, the backlog has come down almost $600 million, and we've continued to post growth quarter after quarter. Ryan did talk about in his prepared remarks, we have seen the backlog grow almost 25% -- or a little over 25% here in the first 3 weeks of October. So we're back close to $360 million of backlog. So we're feeling really good about kind of the guidance we're giving and overall, just the health of the new sales business. But if you could just clarify the first question for us.
Ryan McMonagle: I think -- was it the -- you're talking about 30% intra-quarter order growth. Is that what you're referring to?
Naim Kaplan: Yes, within TES. I'm pretty sure what you had in the release.
Ryan McMonagle: Yes. No, that's -- we just wanted to make sure you're asking the right question. The thing that -- in addition to backlog, what we're watching really closely and what we have good visibility to is how orders are coming in within the quarter. And so there's a meaningful -- so we're -- that 30% is an increase in signed orders when we compare Q3 of '25 to Q3 of 2024. And I think that's where we're feeling comfortable about the growth we expect in Q4 and obviously, the performance, the 8.5% growth we've seen year-to-date in the TES segment. So in addition to backlog, we're watching kind of the intra-quarter order flow kind of in a real-time basis, and that's what we wanted to share with you all, too. But that's why I think we have comfort in the full year number that we've talked about for TES.
Naim Kaplan: Okay. Very helpful. And just to follow up on that, if I may. Any details on the customer type?
Ryan McMonagle: Yes. We're seeing -- it's a good -- we are seeing really strong demand in the utility segment. So that's both our utility contractors and our forestry contractors, where we're seeing really strong demand. As we talked about some in the comments, we're seeing a bit more hesitation in some of the infrastructure end markets, things like refuse and some of our dump truck where there's a bit more inventory in the market that we talked about in the prepared remarks. But I'd say there's still a good mix of our large national customers and our smaller customers as well. And so no significant shift there other than maybe skewing a little bit more towards T&D where we're seeing a stronger demand and infrastructure is a little bit softer from a demand perspective.
Operator: Your next question comes from the line of Brian Brophy from Stifel.
Brian Brophy: You touched on this a little bit, but hoping to get a little bit more color. Hoping you can give us an update on what you're seeing from a large transmission pipeline perspective. What's the latest you're hearing from your customers regarding to when some of these large projects that have been discussed are going to come to fruition?
Ryan McMonagle: Yes. We're seeing good demand there, Brian, for sure. And so we have seen a meaningful uptick in our transmission utilization late in the third quarter and into the fourth quarter. So I think that's driving a lot of the increase that we talked about on the call. And I think we have strong expectations for 2026 there as well. There are a couple of very specific projects, right, that are in process now that are driving that demand. And then there's a lot of floating going on, too, that is for early 2026 also. So really good demand there. I think that's where we -- the comment that we made some additional CapEx investment, that's where we did add to the rental fleet to grow that part of the rental fleet further because we're seeing the good demand that our customers are talking about.
Brian Brophy: Okay. And then just to touch on one project in particular, I wanted to ask on GreenLink. Obviously, it's been discussed as a project you guys have been involved with, and we saw some headlines intra-quarter regarding a pause in activity. It doesn't seem like it's impacting your fourth quarter based on some of the comments you made. But just maybe any updated thoughts you can provide on this project and if we could see an impact this quarter?
Ryan McMonagle: Yes. No, it's still been -- it's not impacting the fourth quarter. We're still seeing good demand on transmission. I think that's what's always interesting when you get into these strong transmission cycles is I think customers don't want to return gear because they know that they may not see it again too. So I think it should not be an impact in our fourth quarter. And that transmission sector, as I said, is staying very strong from an overall utilization perspective.
Operator: Your next question comes from the line of Mike Shlisky from D.A. Davidson.
Michael Shlisky: Can we back up a couple of questions? You had mentioned some comments about the infrastructure sector and how that's going. Can you maybe kind of round it out by just talking a few senses on how it's going in the telecom world and in rail as well?
Ryan McMonagle: Yes. I think we're seeing -- look, across the board, we're seeing growth, right? And so I think that's important to say. We're seeing the strongest growth in transmission and distribution, just given what's going on there. So we are -- within telecom and rail, we're seeing some activity pick up. As you know, telecom and rail are less than 5% of our revenue. So we're seeing some growth in rail. We're seeing telecom, a lot of discussion and a lot of quoting happening. I expect that should pick up some in the fourth quarter and then into 2026 as well. But overall, it's growth. The strongest growth is in transmission and distribution. And then just where there's more competition from an inventory perspective in things like dump trucks or water trucks or some of our refuse product categories, we're seeing less growth or is the right way to say it, Mike.
Michael Shlisky: Got it. And then turning to T&D, you start to see headlines from some data center operators as they build the data center, they're also building or contracting for energy production assets either close by, on site, a few miles away, not a long grid connection as far as distance is concerned, I guess. Not all of the data centers, but some of them are trying to co-locate the energy. Does custom trucks still play a role in a project like that? Does it accelerate the pipeline opportunities when people are just saying we can't wait for the utilities go to build at least on our own infrastructure. Does have an impact on pricing and margins when you have a project where it's much closer to the data center than others?
Ryan McMonagle: Yes, it's a great question, Mike. And I think the way we're thinking about it is it is very good overall demand, right, for T&D for us, right? And so to me, it feels like there's a lot of generation that's coming online that in some cases, it's temporary generation, too. And so to me, that's why I think we're getting comfortable that there should be a sustained period of long demand here. So in some cases, it's temporary generation, right, to get the data center up and then the expectation is the utility will come back through and bring a transmission line or a substation or whatever is needed, right, for that particular project. And that's where I think it feels like it's going to be good sustained demand for custom truck and for our trucks in both of those cases.
Michael Shlisky: Got it. And then, Chris, can I give some more comments on your -- on the CapEx plan that you put out here for the rest of '25. Is any of this pull forward from '26? I'm trying to figure out, is there a point where you pause in the CapEx kind of harvest what you've got and pay down some more debt at some point?
Christopher Eperjesy: The answer is yes. As you know, we -- the age of our fleet going back 3 or 4 years ago was a little over 4 years. We're now, I think, at 2.9 or right around 2.9 years. So that's $0.5 billion, $600 million investment to do that over time. And -- but the short answer to your question is we should start to see some improved free cash flow, certainly as we're able to pull back on some of that net investment.
Michael Shlisky: Great. Chris, can I just follow up there? You had said you were once 4 years. I think you were a little bit above 4 years depending on how far back you kind of Nesco and so forth. How far would you take it? Like I guess I'm curious where the competition is with their average age? And how close would you get to the competition while still being the newest. I'm trying to figure out how long you might be able to let your assets for if you were to try to find a way to harvest some cash flow.
Ryan McMonagle: Yes, it's a great question. And look, it's -- there's not great data out there, but we do think that we are the youngest fleet, the youngest utility rental fleet that's out there. And so you're right, Mike, there is the ability to age it. And so to me, if you kind of use the bounds of where we are today of under 3, 2.9 or whatever the exact number is right now, and you think about the fact that we were over 4 just a few years ago, to me, that's a pretty good band that you can live in and allow to age -- and allow ourselves to age our fleet and therefore, generate cash flow that way. So I'd give you that as a pretty good band to think about and still have a very strong performing fleet where we take care of the customer and are very competitive from an overall age perspective.
Michael Shlisky: And I appreciate you've got a lot of opportunities coming in, so I don't want to issue your balance. So -- anyways I appreciate [indiscernible] a lot.
Operator: [Operator Instructions] There are no further questions in queue. I'd like to turn the conference back over to Ryan McMonagle for any closing remarks.
Ryan McMonagle: Great. Thanks, everyone, for your time today and your interest in Custom Truck. We look forward to speaking with you on our next quarterly earnings call. And in the meantime, please don't hesitate to reach out with any questions. Thank you again, and have a good day.
Operator: This concludes today's conference call. You may now disconnect.